Operator: Ladies and gentlemen, thank you for standing by and welcome to the CorePoint Lodging Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference to your speaker today, Becky Roseberry, SVP of Finance and Investor Relations. Please go ahead ma'am.
Becky Roseberry: Good afternoon and welcome to CorePoint Lodging's Fourth Quarter Earnings 2019 Conference Call. In a moment, we will have some prepared comments from Keith Cline, our CEO and Dan Swanstrom, our CFO. Also in the room with us today is Rob Song, our SVP of Investments and Howard Garfield, our CAO. Before we start, I would like to remind everyone that our remarks today will include forward-looking statements. Actual results could differ materially from those indicated in the forward-looking statements. And forward-looking statements made today speak only to our expectations as of today. We do not undertake any duty to update forward-looking statements. These statements are subject to risk factors that may cause our actual results to differ materially from those expressed or implied. For more details on some of these risks, please refer to the Risk Factors section of the company’s most recent Annual Report on Form 10-K and in the subsequent reports filed with the Securities and Exchange Commission. In today’s remarks, we will also refer to certain non-GAAP financial measures. Corresponding GAAP measures and a reconciliation of non-GAAP measures to GAAP metrics are provided in our earnings release, which is available on our website at corepoint.com. Finally, for those listening to a replay of this call after March 12, 2020 we will remind you that this presentation will not be updated. And it is possible that the information discussed will no longer be current. With that, I will now turn the call over to Keith.
Keith Cline: Thank you, Becky. Good afternoon, everyone and welcome. We're pleased you could join us. As we've all seen over the last few weeks, there's been a sudden and rapid deterioration in the macro lodging environment due to the actual and anticipated impact of the COVID-19 virus. We're in unprecedented times for the lodging industry, we’re working closely with Wyndham to respond to the circumstances and as always, the health and safety of our guests and employees as a priority. At the asset level, we're working diligently to implement cost containment initiatives in response to declining demand. With respect to our business, we have experienced approximately $5 million in lost revenue from actual disruptions in the business incurred to-date. And we've seen a slowdown in our transient business as evidenced by a slowing of our forward-booking pace. Although group travel does not constitute a material part of our overall business mix, we've also experienced group and conference cancellations. With these recent trends in mind, we believe the prudent course is to withhold formal guidance at this time due to the uncertainty and limited visibility on forward-bookings and operating trends. While we're obviously cognizant of the macro-environment, it goes without saying that addressing its impact on our business guests and employees is our most immediate priority. However, Dan, and I did want to take some time on today's call to provide an update on the company's key initiatives and performance. Before I hand it off to Dan, I'll briefly review our fourth quarter and full-year results and discuss the strategic review of our real estate that led us to the decision to expand our non-core asset disposition program and why we believe this strategy will provide meaningful shareholder value over time. Now to the results. Fourth quarter 2019 comparable RevPAR declined 8.7% as compared to the same period in 2018, which brought us to a decline of 4.5% for the year as compared to 2018. Adjusted EBITDAre for the fourth quarter of 2019 was $19 million, bringing us to $146 million for the year. The fourth quarter was consistent with our revised 2019 outlook, which included continued declines in ADR, occupancy and market share. As we've discussed for the last few quarters, 2019 was certainly a challenging year from an operational perspective. We experienced revenue disruptions following the system's migration to the Wyndham platform that occurred in early 2019, as well as a general softening of the macro-lodging environment in the back half of the year, most significantly in our midscale and economy segments. With respect to the Wyndham settlement, which we were pleased to have reached during the fourth quarter, we’re working closely with Wyndham to support their reestablishment of the agreed upon revenue management and other key booking functionalities that are at least reasonably equivalent to the legacy systems. And we're on schedule at this point to meet the 2020 deliverables. Given the implementation timeline, I would like to remind everyone that we're not expecting to see any material benefits from these changes until late 2020 or early 2021. During the fourth quarter of 2019, CorePoint received cash payments totaling approximately $28 million from Wyndham in accordance with the economic terms of the settlement, we expect to receive the remaining approximate $9 million of settlement payments by no later than June 2021. The settlement was important not only for resolving the operational dispute with Wyndham but also for reaching an agreement on franchise transfer approval criteria, which has assisted us in achieving a more efficient and timely asset sales closing process. Our disposition program was highly accretive and one of our top initiatives for 2019. Last March, we outlined a plan to sell 78 non-core hotels and targeted gross proceeds of approximately $250 million to $260 million. To date for the Phase 1 non-core hotel sales, we've sold 57 hotels for gross proceeds of approximately $235 million and have an additional 15 hotels under contract for gross proceeds of approximately $57 million. This would bring total gross proceeds for 72 of the 78 Phase 1 assets well above our initial total range and an average revenue multiple of 2.5 times and a hotel adjusted EBITDAre multiple of approximately 36 times valuations, which have been highly accretive to our trading multiple. Now turning to our top 2020 initiatives, in addition to remaining vigilant and aggressively responding to any disruption to our business from this rapidly evolving environment, we’re also focused on ensuring that the revenue and other platform improvements pursuant to the Wyndham settlement are completed on time and properly address our needs, as well as improving upon our asset management capabilities and processes, which we believe will drive improved operational results. Additionally, we're focused on executing on the next phase of our real estate strategy, which should drive meaningful value creation once again through asset dispositions. At full execution, this strategy will result in a core portfolio of 105 hotels that are focused on our higher quality and growth potential assets that are primarily located in Top 50 MSAs. Dan will walk through more of the details, but as I mentioned at the outset, based on the success of asset sales to-date and the strategic review of our portfolio, we’re expanding the size of our non-core disposition program to include an additional Phase 2 group of 132 hotels. This expansion of the disposition program led to a reduction of the applicable holding periods for these non-core hotels, necessitating a fourth quarter non-cash GAAP impairment charge of $141 million. To date, we’re pleased to have sold four of these Phase 2 hotels for a combined gross sales price of approximately $16 million with an additional 27 Phase 2 hotels under contract with qualified buyers expected to generate approximately $163 million in gross proceeds. As of today, we have a total of 149 remaining non-core hotels in our disposition program that we intend to sell generally over the next two years and have targeted gross sales proceeds of approximately $800 million based on revenue multiples of generally two times to three times. As I just highlighted and reviewing both our Phase 1 and Phase 2 sales progress, in total, we have 42 of these remaining 149 non-core hotels already under contract with qualified buyers, which are expected to generate approximately $220 million in gross proceeds representing an average revenue multiple of approximately 2.6 times and a hotel adjusted EBITDAre multiple of approximately 17 times. We will continue to monitor and evaluate any potential impact of COVID-19 as it relates to these asset sales, although we haven't seen a meaningful impact of closing for assets under contract to date, it is reasonable to anticipate a disruption or a slowdown in the pace of asset sales in the near term, given the current environment. Executing on this multi-year next phase of asset sales will enable us to unlock embedded value and while supporting our near-term focus to strengthen the balance sheet. 2020 is a transitional year for CorePoint, and we continue to monitor and evaluate the financial impacts of the current business environment on our portfolio. We're also working with our management company to ensure appropriate measures are in place to maintain the safety of our guests and our operators, employees. This environment we're excited to be getting critical revenue management tools online by the end of the year and executing on our portfolio transformation. Both initiatives should better position CorePoint for long-term success and value creation. And with that, I'll turn the call over to our CFO, Dan Swanstrom. Dan?
Dan Swanstrom: Thank you, Keith and good afternoon everyone. I'll start today by providing a brief review of the fourth quarter operating results and then provide a balance sheet update. I'll also review our recent capital allocation activities, provide additional details on our strategic review of the portfolio that led to the expansion of our non-core disposition strategy and discuss 2020 observations. Fourth quarter operating results were generally in line with our expectations. And as a result, we achieved the midpoint of our revised full-year 2019 outlook for comparable RevPAR growth and came in just above the midpoint for adjusted EBITDAre. The comparable RevPAR declined during the fourth quarter of 8.7% was due to a 3.3% decrease in ADR and a 360 basis point decrease in occupancy. The $11 million year-over-year decline in adjusted EBITDAre for the fourth quarter of 2019 is primarily due to decreases in revenue, which reflect continued declines in comparable RevPAR including headwinds following the transition of our portfolio to the Wyndham Platforms earlier this year, the impact of sold hotels and weakness in the oil and gas markets. Turning to our balance sheet as of December 31, we had total gross debt outstanding of $921 million, which is down from $973 million a quarter-ago. After factoring in the pay downs of debt completed subsequent to quarter-end using asset sales proceeds, we now have total gross debt outstanding of approximately $880 million and cash of approximately $100 million. We also currently have no outstanding borrowings on our $150 million revolving credit facility. For the portfolio we own today and based on our current net debt balance, our net debt to adjusted EBITDAre is approximately 5.4 times on a trailing basis. We remain highly focused on disciplined capital allocation to increase shareholder value over time. Since March 2019, we have generated $251 million in gross proceeds from our non-core disposition program. Our capital allocation priority with sales proceeds has been the repayment of debt and we have made substantial progress on that front to-date with approximately $155 million of CMBS debt being repaid. During 2019, we repurchased 2.6 million shares of common stock for an aggregate investment of approximately $29 million, paid out approximately $46 million in common dividends and made capital investments in the portfolio totaling approximately $54 million, which excludes Hurricane restoration costs that are predominantly funded by property insurance proceeds. We also meaningfully increased our cash position in the second half of 2019 which as mentioned currently stands at about $100 million. Our priority for the future deployment of the capital we’re raising through asset sales will continue to be primarily concentrated on paying down our CMBS debt and continuing to maintain balance sheet capacity and flexibility. As discussed, we're expanding our non-core disposition program. Our go-forward core portfolio will now be comprised of 105 hotels focused on our higher quality and growth potential assets that are primarily located in top 50 MSAs. In fact, approximately 85% of the core portfolio resides in Top 50 MSAs. Pro forma for the completion of the non-core disposition program, we are narrowing our geographic footprint from 41 states and 116 MSAs to 22 states and 50 MSAs. We’re increasing our concentrations in higher growth West Coast market locations, such as in California and Washington, while reducing our footprint in low growth Midwest and Southeast markets, as well as in the generally more volatile energy markets. We’re also disposing of all remaining economy chain scale hotels, compared to our sold hotels that had average RevPAR of about $37 and hotel adjusted EBITDAre margins less than 10% and our remaining non-core hotels that in 2019 had average RevPAR of about $50 and hotel adjusted EBITDAre margins of approximately 17%. This core portfolio of 105 hotels in 2019 achieved significantly higher RevPAR of $73 and hotel adjusted EBITDAre margins of 26%. The benefits of this portfolio transformation strategy are substantial, as we will be more focused in key markets with better performing hotels, a lower average age and a meaningfully reduced level of capital needs with the sale of older hotels. As Keith noted earlier, we’re not providing formal guidance for 2020. Given the extraordinary events in the macro-lodging environment over the past few weeks, we believe it is prudent to hold-off on guidance at this time. To provide some perspective on what we thought the core and non-core portfolios were capable of producing this year. Obviously in a stable environment, unlike what we are currently experiencing, I wanted to briefly walk through how we thought 2020 might otherwise have unfolded. Using 2019 actual results for the portfolio, we own today as a starting point, hotel adjusted EBITDAre was $165 million for the total portfolio and $108 million for the core portfolio of 105 assets. For 2020 as compared to 2019, we were expecting comparable RevPAR to be down 2% to down 1% for the total portfolio and down 1% to flat for the core portfolio. Similar to others in the industry, we expect the continued headwinds from operating expense growth including labor and wages, real estate property taxes and property insurance. We would have expected this to translate to a year-over-year decline in hotel adjusted EBITDAre of slightly below 10% for the total portfolio and about 5% for the core portfolio. Clearly, the current environment is creating uncertainty significantly affecting these prior expectations given the current lack of visibility into future operations. We’re now focused on working closely with our third-party manager on the appropriate cost containment and mitigation initiatives to respond to this environment, as well as deferring non-essential capital expenditures. The success of our asset sales to-date demonstrates the value we believe we can create over time with an expansion of this disposition program. To expand on Keith's comments with respect to the remaining 149 non-core hotels to be sold, we’re targeting gross sales proceeds of approximately $800 million based on the midpoint of revenue multiple valuations generally in the two times to three times range or approximately $730 million of net proceeds after factoring in estimated management, termination fees and transaction costs. We envisioned that at least $500 million of the net proceeds would be used to pay down CMBS debt from its current balance of approximately $880 million, and that the balance of net proceeds would provide investment capacity for other accretive capital allocation opportunities, which could include additional debt pay down to further increase or grow the core portfolios earnings profile over time. Our objective is to strengthen the balance sheet and reduce net debt to adjusted EBITDAre for the core portfolio to our longer-term target range of four times to five times. From a capital investments perspective, we anticipate maintenance CapEx for the pro forma core portfolio to be about $15 million on an annual basis or just under 4% of total revenues, which is generally consistent with 2019 levels. In closing, while we’re focused on responding to the sudden and rapid change in the macro lodging environment, and the resulting disruption to our business, we believe there are numerous long-term strategic benefits to this next phase of our ongoing portfolio transformation, which include realizing significant embedded value, unlocking capital for higher priority uses, strengthening the balance sheet, creating investment capacity to better position CorePoint for future accretive capital allocation opportunities and optimizing the portfolio to be focused on a core portfolio of 105 of our higher quality better located hotels with enhanced growth profiles. With that, we'll open the line for your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Chris Woronka with Deutsche Bank. Your line is now open.
Chris Woronka: Can you maybe give us a sense for the hotels that are under contract right now but not sold? Can you give us some general sense as to the buyer pool? What kind of buyers they are, are they mostly one-offs? Are they are these small portfolios or is there a bigger group of hotels?
Keith Cline: So the buyer pool in the hotels under contract continues to be kind of the same group, a general type of investors. It's small, one or two asset purchases. Maybe you can have a buyer that could acquire three to five over a period of time, but typically the transactions are in small groups. And as of today, as we think about the hotels that are under contract, we certainly would expect all those to close by the end of the third quarter of this year, but we're also realistic as we think about the current environment that is constantly changing in terms of access to capital, et cetera. So we're going to continue to monitor it, but our vacation as of right now is that these hotels should close by the third quarter of this year.
Chris Woronka: Okay, that's very helpful. And then you mentioned in the process of starting to cost containment initiatives at properties with Wyndham, is there any sense for, how they're kind of underwriting in terms of can you take step functions on these costs? Or how are they underwriting, how much occupancy might fall? It's obviously really challenging in the current environment, since we're kind of on uncharted territory, but is there any kind of guideline they're following for costs that they want to take out?
Keith Cline: Well, as I mentioned on the call, and you mentioned that yourself, we're in a little bit of unchartered territory at this point. Obviously, given how steep and quickly demand has declined, there are a lot of things you can focus on inside the box. Everything from the hours you're allocating over time right sizing the number of rooms available in a hotel based on the occupancy so you can shrink the footprint that you're having to continuously clean and maintain. There's a lot of other variable costs in the hotel that that you can address. I mean, one that certainly comes to mind as a consumer and a guest myself out there and hotels is there is a growing level of potential concern of open food and buffet type food servings, where you can try to tweak some things to not only make it safer for guests, but also help the hotel contain some costs. So I would say there's a litany of things that we can address in response to changing demand. The thing that we continue to monitor is how quickly and aggressively can we move given how quickly the demand environment is changing.
Operator: Our next question comes from Omer Sander with JPMorgan. Your line is now open.
Omer Sander: Can you talk about any maybe about liquidity and maybe your ability to defer any CapEx or maybe tap with other sources of capital if needed?
Dan Swanstrom: Sure, Omer, this is Dan. So as I mentioned in the call, from a liquidity perspective, we currently have about $100 million of cash on balance sheet and we currently have no outstanding borrowings on our $150 million revolving credit facility. Clearly in this environment, we're very focused, as Keith mentioned on cost containment initiatives at the property level. And as I mentioned in the call, we're also deferring all kind of non-essential maintenance CapEx across the portfolio. So those are a couple of levers that we can pull in terms of scaling back capital spend and just making sure that there has been some caution and we're being very prudent and maintaining balance sheet flexibility and capacity.
Omer Sander: And then maybe just one follow-up on one of the earlier questions on the asset sales. Can you maybe talk about what EBITDA multiples these are, these assets are garnering and presumably as you go up kind of the quality scale in your portfolio, does that kind of improve and does that get higher and then in regard to the net leverage target of four to five times, is there some sort of timeline you should think about reaching that or is that kind of in tune or in lockstep with the asset sales there as you step towards these 105 core portfolio?
Dan Swanstrom: Sure. Let me start with your question on the multiples. As Keith mentioned in the script, obviously, on the Phase 1 assets, we've been very successful, we've achieved the high-end of our revenue multiple range that we had put out about a year-ago of 2.5 times. And as we've communicated with respect to these hotels, they're lower contribution in terms of EBITDA less than 10% margins. So we're able to achieve an EBITDA multiple of 36 times. As we move forward, the remaining non-core hotels do have a slightly higher or actually double EBITDA margins of about 17% and so as we mentioned, the multiple valuation on this hotels is two to three times, but given the higher EBITDA margins, that translates to about a 14 to 15 times EBITDA multiple on a gross basis.
Keith Cline: And Omer as I mentioned in the script, as we look at the aggregate Phase 1 and Phase 2 remaining non-core, which is about 149 hotels, of that group, 42 of those are under contract. And those are under contract at 2.6 times revenue multiple, new multiples and 17 times hotel adjusted EBITDAre multiples kind of consistent with the range that Dan was talking about.
Operator: Thank you. I'm not showing any further questions at this time. I would now like to turn the call back over to Keith Cline for any closing remarks.
Keith Cline: I just want to thank everyone for joining us today on the call and certainly thank you for your continued interest in CorePoint Lodging. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.